Operator: Good day ladies and gentlemen. Thank you for standing by and welcome to the Intuitive Machines' Fourth Quarter and Full Year 2024 Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please note that today's conference is being recorded. I would now like to turn the conference over to Stephen Zhang, Head of Investor Relations. Please go ahead.
Stephen Zhang: Good morning. Welcome to the Intuitive Machines' fourth quarter and full year 2024 earnings call. Chief Executive Officer, Steve Altemus; and Chief Financial Officer, Pete McGrath are leading the call today. Before we begin, please note that some of the information discussed during today's call will consist of forward-looking statements, setting forth our current expectations with respect to the future of our business, the economy and other events. The company's actual results could differ materially from those indicated in any forward-looking statements due to many factors. These factors are described under forward-looking statements in the company's earnings press release and the company's most recent 10-K and 10-Q filed with the SEC. We do not undertake any obligation to update forward-looking statements. We also expect to discuss certain financial measures and information that are non-GAAP measures as defined in the applicable SEC rules and regulations. Reconciliations to the company's GAAP measures are included in the earnings release filed on Form 8-K. Finally, we posted an earnings call presentation on our website which provides additional context on our operational and financial performance. You can find this presentation on our Investor Relations page at www.intuitivemachines.com/investors. Now, I'll turn the call over to Steve Altemus.
Steve Altemus: Good morning and thanks for joining our fourth quarter and full year 2024 earnings call. Just two years ago we became a public company with a bold vision for the future. Over the past year, we've deliberately positioned ourselves for long-term success by expanding our technical capabilities, opening new revenue streams and fortifying our financial position. In the fourth quarter, we reported revenue of $54.7 million, contributing to a record fiscal year revenue of $228 million. This exceeded the midpoint of our previous guidance range and is a reflection of our ability to execute and grow within the lunar commercialization sector. Our financial position remains robust. We ended 2024 with a record cash balance of $207.6 million following a successful equity raise in December. As of March 10th, our cash balance stood at $385 million after recent warrant exercises. This strong liquidity position ensures that Intuitive Machines is well-funded for the future. Now with a fortress-like balance sheet, we're seeking the highest return opportunities, whether that's through internal innovation or strategic acquisitions. We got to this point because we choose to tackle one of the hardest challenges first, landing on the moon. Now, the technologies and expertise that built our initial lunar program are ready to expand our reach into new markets and new customers. This year is not just about growth, it's about defining the future of our company and the industry itself. The fourth quarter welcomed a new administration that is revamping the whole of government, and NASA is not excluded from that. There's been a shift in how the federal government approaches the acquisition of technology-based business services, and we believe Intuitive Machines is well-positioned for this. The new administration has signaled a strong emphasis on stretching the federal dollar by shifting from large government-owned cost-plus development programs to commercial service models that leverage private sector innovation that demand service providers thrive in a fixed price ecosystem with revenue service tail, similar to the environment Intuitive Machines has grown up in with CLPS, with LTV, and the Near Space Network contracts. The federal government changes and uncertainty at NASA is an opportunity for Intuitive Machines to expand our customer base into areas like National Security Space and broaden our service footprint, in addition to lunar, further diversifying our role in the space economy. We're in a position to do this because we're operating an end-to-end lunar program with a regular KD submissions. The infrastructure, expertise and proven capabilities required for lunar missions inherently support a wide range of space operations. Offering our validated technologies and capabilities is a natural progression into other markets. These technologies and capabilities form the foundation of our three pillars of commercialization. They are delivery services, data transmission services, and infrastructure as a service. What we've demonstrated from operating two lunar missions is that there are essential capabilities necessary for sustained and resilient operations across all three service pillars. The first is extensible and reliable space communications. This secure and continuous connectivity is essential for transmitting data, coordinating missions and making real-time decisions in-flight and on the surface of any celestial body. The second is physician navigation and timing, also known as PNT. Just as GPS enables seamless navigation on earth, precise and repeatable navigation is required to support flight, orbit and landing operations, surface mobility and resource utilization. The final capability is autonomy and artificial intelligence. Given the distance and complexity of space operations, autonomy and AI-powered systems play a critical role in managing assets, executing scientific objectives and mission success. The IM-2 mission demonstrated significant advancements in all three capabilities, but to be straightforward, spaceflight is a complex endeavor. For every mission we must accept a degree of risk and the possibility of subsystem faults. And that picture isn't always black-and-white. On one hand, our lunar lander Athena touchdown inside a shallow crater of the moon's south pole, a place we believe holds frozen water trapped beneath the surface of previous missions avoided because of the jagged terrain, deep craters and brutal cold. While Athena's landing didn't go quite as planned, our teams accelerated payload operations including operating NASA's PRIME-1 drill suite, Nokia's Lunar Surface Communication System, Intuitive Machines' Micro Nova Hopper, and several commercial payloads, including a Japanese micro-rover and edge computing data center to bring back valuable data capturing the majority of the outstanding $15.8 million of final success payments. As a reminder, 90% of the NASA and commercial payments and associated revenue is earned and paid before launch. On the other hand, from the moment Athena launched on February 26th, every mission stepped to landing validated Intuitive Machines' ability to provide reliable space communications and navigation using our data transmission network. Through the reliability of our network, we executed autonomous precision main engine firings on the way to the moon using our proprietary propulsion system, conducted precision orbital maneuvers, used AI-powered systems to guide our spacecraft across 39 lunar orbits and performed high bandwidth data transmission that outpaced IM-1's capabilities by 5x, all of this while demonstrating our network is interoperable with the NASA's Deep Space Network and the National Radio Astronomy Observatory Network, a requirement for national security space. The function of our spacecraft for the entire mission was nearly flawless and its contribution towards advancing our data transmission network directly supports our execution of NASA's $4.8 billion Near Space Network Services contract and the company's position as a utility provider for space data transmission, similar to the way telecommunications companies bill customers on the amount of data they use. Surface delivery missions like IM-1 and IM-2 provides the baseline for proving technology that leads to opening the space economy. For IM-2 in every space exploration mission, engineers conduct a critical post-flight review of the mission's performance, we call this a hot wash. Over the next several weeks Intuitive Machines will lead internal, external and independent reviews. We invited NASA, the European Space Agency and NASA's jet propulsion laboratory experts to participate. Intuitive Machines expects to keep its third lunar mission on track for this time next year, incorporating findings and corrective actions from these reviews. The mission includes NASA and commercial payload delivery near the moon's equator, a generally flat terrain called Reiner Gamma. One of the mission's primary objectives is researching magnetic anomalies using rover technology. In addition to the mission surface delivery, IM-3 will also deploy the first of five planned data relay satellites under the Near Space Network contract. The data relay satellite is deployed at the rideshare from the second stage of the rocket, independent of the lander. We demonstrated satellite deployment on our last mission with three rideshare payloads, including two that utilized our data transmission network for communication and navigation services. The first data relay satellite deployment opens additional Near Space Network contract task orders beyond the initial validation task orders of $150 million for the contract, introducing a pay-by-the-minute service model, which we expect to have higher margin and recurring revenue streams. In December, Intuitive Machines secured additional awards under the contract for direct-to-earth services. We believe the additional awards position the company to capitalize on the full $4.8 billion maximum potential value. We intend to deliver the second and third data relay satellites as rideshare payloads along with our fourth NASA-contracted surface delivery mission IM-4 in 2027, followed by the final two satellite deployments approximately one year later to complete the constellation. As I said at the top of the call, the new White House administration is instituting a more modern acquisition strategy for how to procure technology services. We believe that benefits Intuitive Machines and we're in a position to expand our customer base and apply those services in addition to lunar space, without accepting excessive work. As we move into 2025, we're focused on diversification of customers and markets, and we've already made progress. Expanding data transmission services for our lunar satellite constellation outside the Near Space Network contract needed authorization to work with other government agencies, and the company now has those permissions. To capitalize on that opportunity, Intuitive Machines appointed James Frelk as Senior Vice President of Data Services in the first quarter of this year. Jim has more than 30 years of experience in national security, commercial satellites, intelligence, surveillance, reconnaissance, and other critical programs in government and commercial industry. Our lunar lander performance in getting to and operating in orbit was exceptional during IM-2, and we're actively leveraging that capability, finalizing a Phase 2 contract with a government customer for an orbital transfer vehicle. The contract is designed to advance in-space mobility and logistics using the same lunar lander core technology in this orbit delivery vehicle. Last year, NASA proposed cancellation of the on-orbit servicing assembly and manufacturing project, OSAM. We're now capitalizing on NASA's traditional contract investment to develop low earth orbit programs. But right now we're conducting a Space Force study on how to commercialize OSAM for geostationary orbit, a new playing field for Intuitive Machines. We believe this co-investment model is the kind of forward-thinking approach the new administration is encouraging in its acquisition strategy. Finally, financially, we remain strong with growing revenue, expanding margins and a record cash balance. 2025 is about execution. As the company expects two NASA commercial lunar payload services contract bids this year, the first is due in May with an anticipated contract award in July, followed by an additional task order later in the year. In addition, Intuitive Machines has been invited to speak to the House of Representatives on our vision for the next version of CLPS, to include larger cargo class lunar deliveries, potentially creating high margin opportunities. Our vision for heavy cargo class landers applies directly to our Lunar Terrain Vehicle delivery service, which we anticipate will be awarded in the second half of 2025. That concludes my comments. Now I will hand off to Pete McGrath, our CFO, for further comments on our financials. Pete?
Pete McGrath: Thank you, Steve, and thanks to everybody joining us today. As Steve mentioned, we ended the year strong with Q4 revenues of $54.7 million, up 79% over the same quarter of the prior year and finished with record highs in both cash and backlog. Q4 revenue was primarily driven by CLPS, OMES and LTVS execution. OMES revenue was $30 million in the quarter, down about $4 million from Q3 as expected. Keep in mind, as Steve mentioned, we are performing a study to commercialize the use of OSAM for the Space Force. Gross profit was $0.7 million for the quarter versus $0.3 million in the prior year as we drive consistently towards profitability. Operating loss for the quarter was $13.4 million versus a loss of $7.5 million in the fourth quarter of 2023. The higher operating loss in the quarter was driven primarily by higher SG&A. SG&A for the quarter was $13.5 million versus $6.4 million in the prior year. A higher SG&A was due to increases in public company costs, employee compensation and benefits, and rent on our corporate headquarters, as well as our new offices in Maryland and Phoenix. Prior year also included the impact of incentive comp, accrual reversal as we look to preserve cash. Current SG&A cost represents our estimated steady state of business going forward. Operating cash used was $2 million in the quarter with the capital expenditures of $4.9 million, resulting in a free cash outflow in the quarter of $6.9 million. As we mentioned on the last earnings call, favorable operating cash in Q4 include the timing impact of two significant receivables, specifically timing on OMES, and the IM-4 milestone one payment. CapEx in the quarter was driven primarily by the investments in our first Near Space Network satellite. Going forward, we expect to see CapEx for our five satellite constellation around the moon in support of NSN. These CapEx levels will be offset by higher margin service revenues from the NSNS program. Our cash balance significantly increased in Q4 to $207.6 million, another company record. This increase was driven by $116.9 million of cash raised in the quarter, which included a $10 million strategic investment from Boryung Corporation, and the remaining from our follow-on equity offering. Note that more recently, in Q1 2025, we cleaned up the majority of our overhangs since de-SPAC mainly through the redemption process of our $11.50 strike price warrants. The majority of our warrants were exercised at $11.50 each, resulting in $148 million of cash to the company. 6.6 million warrants were unexercised and exchanged for $0.01 each. We currently have no outstanding $11.50 public issued warrants. As of March 18th, we had 178.3 million shares outstanding following the warrant redemption process, with 115.7 million shares of Class A and 62.6 million shares of Class C. The exercise of warrants along with diligent cash management to start the year resulted in a cash balance of $385 million as of March 10th of 2025. To further fortify our liquidity position, while in a position of strength as a company, we opened a $40 million credit facility with favorable financial terms. This facility remains unused and is meant to smooth out our working capital ups and downs as we work through the timing impact of milestone payments for our programs and our respective cost schedule. We ended the fourth quarter with contracted backlog of $328.3 million, another record for the company. We expect to recognize 60% to 65% of our backlog during 2025, 15% to 20% during 2026, and the remaining thereafter. Keep in mind, this does not yet include the full set of initial task orders for the Near Space Network Services contract totaling $150 million or any new awards we may receive throughout the year. Moving on to guidance. Last year our revenue was $228 million and for 2025 we see a range of $250 million to $300 million. The accepted growth of our key programs is expected to more than offset the impact of OSAM, which was roughly 40% to 50% of the OMES revenue in 2024. This represents a tremendous shift in our business mix as we focus on expanding revenues into higher margin services. On the profitability side, we are continuing to demonstrate improvement in margins with a focus on having a positive run rate adjusted EBITDA by fourth quarter of 2025 and a positive adjusted EBITDA by 2026. Overall, this was another strong quarter and a historic year for Intuitive Machines. Last year, we set aggressive but reasonable guidance targets. We're proud to have exceeded the midpoint of the range. We effectively managed cash and set the company up with a fortress balance sheet, a streamlined capital structure with a substantially reduced overhang from derivative securities and no outstanding debt. We look forward to continuing this growth trajectory in 2025 with a focus on driving towards profitability and achieving our financial targets. With that, operator, we are now ready for questions.
Operator: Thank you. [Operator Instructions] Our first question coming from the line of Suji DeSilva with ROTH Capital. Your line is now open.
Suji DeSilva: Hi, Steve. Hi, Pete. Good morning. So maybe you can talk first about the -- you talked about the funding and the balance sheet being stronger and strategic moves beyond NASA and cislunar expanding, reach new markets customers. Steve, maybe you can give a framework of sort of where you could see Intuitive Machines headed three to five years out that would kind of paint a picture of what you might be thinking of beyond what you've done to date?
Steve Altemus: Yes. Good morning, Suji. Thanks for the question. Yes, when we think about the company, we're really moving into this data services business of full core press here because what we see the lunar data network that we're installing with the data relay satellites and the ground stations is really, I would deem a national asset, and that asset can be used by many different customers. It also gives us the capability for alternate forms of GPS. It gives us ability to communicate in a difficult location around the moon, but those services can obviously be brought back towards Earth. So you see us expanding in the Near Space Network regime at multilayer domains in space from low earth orbit to geosynchronous orbit out to cislunar space. We're just doing it in reverse order from lunar space backwards. So that's what you can look for over the next three to five years.
Suji DeSilva: Okay. And then maybe you could touch on specifically the orbital terrain vehicle, the spacecraft there and you said there's a government contract there. Maybe you can talk about that product line and how we should think about that?
Steve Altemus: Yes. The nebula, as we call it , is a derivative of the Nova-C Science Autonomous Robotic Lander that we flew to the moon twice. And so it's a cryogenic stage, essentially a third stage, if you will, with our proprietary propulsion system. And we can deliver satellites, multiple satellites to varying locations in space around cislunar space. And that's of interest to some customers and we're doing that under a commercial contract as a subcontractor for a government customer.
Suji DeSilva: Okay. Great, Steve. And then last question and I'll pass it along. As you talk about '26 adjusted EBITDA positive, maybe you could talk about two elements of that guidance in terms of the, maybe long-term growth rate, the revenues that would be a reasonable set of bands to think about? And then the operating expense growth expectation to kind of get to that '26 guide?
Pete McGrath: Yes. So I probably won't provide guidance on what our growth rate is going forward beyond '25, if you look at where we were in terms of our run-rate and our G&A expense, we've stabilized around a good G&A spend rate, which is going to really help us as we continue to grow on the profits and the margin side towards that EBITDA positive case.
Suji DeSilva: Okay. Appreciate the color, Pete. Thanks, guys.
Operator: Thank you. Our next question coming from the line of Mike Crawford with B. Riley Securities. Your line is now open.
Mike Crawford: Thank you. Regarding the Lunar Terrain Vehicle, down select which you said you still expect to occur in 2H '25. Is there anything from that baked into the current guidance?
Steve Altemus: Mike, the way we look at that one is that will affect 2026 primarily and not necessarily 2025 with that award coming so late in the year, we believe. There are alternatives that the government may consider in terms of how they award that they may choose multiple bidders, down select to two, take two to CDR or give the full demonstration to a single bidder. I'm not quite sure what the shape of that procurement will look like, but we did not include any of the LTV beyond the initial $30 million in the operating plan for 2025.
Mike Crawford: Okay. Thank you. And then regarding the data relay satellite deployments. Is there an order to the range points that you're targeting for the second and third payloads and beyond?
Steve Altemus: So just to clarify, you're looking for the timeline for deployment of the satellites.
Mike Crawford: Yes. And does it matter to which location each goes to in order?
Steve Altemus: Long answer. Good. So our current baseline plan is that the first satellite will go up as a rideshare on IM-3, which is scheduled for about this time next year. And then the second one -- second and third will go off as a rideshare on IM-4, which we're currently slating for the second half of '27. And then the fourth and fifth would go up about a year after that. They're all going to a highly elliptical polar orbit around the moon, that will have a long stair time around the South Pole, which is the requirement for NASA in terms of the coverage over the South Pole region.
Mike Crawford: Okay. Thank you very much.
Operator: Thank you. Our next question coming from the line of Austin Moeller with Canaccord Genuity. Your line is now open.
Austin Moeller: Hi. Good morning. So just my first question. Has the data collected during IM-2 impacted your conversations with NASA or plans for the upsized Nova-D lander? And has NASA decided if they will pay a vendor to deliver the VIPER rover yet?
Steve Altemus: With respect to Nova-D, we're currently in the design cycle to get to preliminary design review for the demonstration mission for LTV delivery. So Nova-D continues on. We are doing the hot wash associated with IM-2 and the faults we saw in the laser altimeters and we're doing a complete system review. I don't expect much change to the way the design is going for Nova-D coming out of that hot wash. And like I said in my comments, Austin, that we'll actually look at any effects to IM-3 other than the laser rangefinders that might be incorporated into that mission this time next year. Your other part of your question was VIPER. Right now, NASA put out an RFP to industry to say after they looked at all of the RFIs that were submitted and said, hey, put submit a proposal, they'll do a down select once they see all those proposals, we expect that down select here shortly, probably by the end of the month. And then they'll do a kind of a down select from those ones that give a good plan or meet the competitive range. I'm not sure what we're going to do with that VIPER yet. The way that came out, that's got to be fully f0unded without the government, without NASA, and NASA retains all the data. So it's quite limited in our ability to commercialize it. So we're still thinking about what we want to do there.
Austin Moeller: Okay. And if we just think a little bit further out, the new administration has said they have Mars as a priority. So has the new administrator discussed with you or the other CLPS participants an equivalent program for doing commercial landers on Mars, just given the cost overruns on Mars sample return?
Steve Altemus: We've been talking for about two years now with the agency and the administrators and deputy administrators of the agency about using the CLPS model to replace the aging infrastructure around Mars. And so that conversation has been well-received so far. We have not had discussions yet about how that might play in this administration or with this new administrator once confirmed. So we plan to have those discussions and see what that might be. I would say though that it is clear to us from our discussions on the Hill with everybody that we run into and talk to and meet with is that the moon is of strategic interest and will remain that way. The idea of Mars, first or Mars only is really not the mainstream thinking at this time. Mainstream thinking is that a stretch goal for Mars is a good thing for the country. Well, the moon is of strategic interest and will remain so.
Austin Moeller: Thanks for all the details there. I'll pass it back. Thank you.
Steve Altemus: Great.
Operator: Thank you. Our next question coming from the line of Andres Sheppard with Cantor Fitzgerald. Your line is now open.
Andres Sheppard: Hey, everyone. Good morning. Congratulations on the quarter and thanks for taking our question. I was just wondering if maybe you could elaborate a little bit further on some of the data that you were able to procure from the IM-2 mission, maybe particularly on the Nokia side. Just curious if you could tell us how that communication work out and versus expected? Thank you.
Steve Altemus: Yes, good morning, Andres. Let's see, Nokia Bell Labs had a fully successful payload operations on the moon, where they tested out each element of their cellular network with us. Even though we were on our side, Nokia was able to power up and communicate with each part of that network, demonstrating that technology, earth-based technology hardened for space was successful. And so this is really a good news story in terms of how you can take that technology all the way to TRL level 9 and now we have the basis for surface communications between elements on the moon. So a rousing success for Nokia Bell Labs.
Andres Sheppard: Very helpful. Appreciate that color. And maybe just as a quick follow-up. Steve, you touched on this a little bit on the call, but maybe just remind us, what are the key catalysts, maybe the near-term key catalysts that you think investors should be aware of as we look for in 2025? Thank you.
Steve Altemus: Yes. So right now the team is getting ready for the Nova-D design cycle review with NASA on that delivery vehicle, the heavy cargo variant for delivery of the LTV, and we'll also do a preliminary design review with NASA in the first half of this year on the LTV itself, Lunar Terrain Vehicle. And then you heard that we're going to have the next CLPS mission called CS6 procurement in May, proposals are due with award in July. And then finally, there's a third project or contract, that's the second CLPS award this year, which we expect later in the year. And so those are the big contract award milestones while we prepare our first satellite for launch on IM-3 this time next year. That satellite will be delivered for integration to us for our payload integration this year and ready to fly early next year.
Andres Sheppard: Super helpful. Thank you so much and congrats again. I'll pass it on.
Steve Altemus: Thank you.
Operator: Thank you. And our next question coming from the line of Edison Yu with Deutsche Bank. Your line is now open.
Edison Yu: Hey, good morning. Thanks for taking our questions. First, I wanted to ask about the cash. You're obviously in a very good position now after the recent raises. How are we thinking about deploying that? Do you have a pipeline of M&A that might be of interest?
Steve Altemus: So we have a continuing process of review for opportunistic M&A where we review what capabilities as a company we want to put add-on, where we have soft spots in the supply chain, for example, or where we want to vertically integrate. We also want to think about markets and opening up a new customer and diversify our revenue stream. So we look at these on a continuing basis and we'll be strategic in our assessment of M&A going forward. There's also a number of technology innovations that we want to on-ramp, in particular for the Nova-D, we want to make sure that the propulsion system is developed in a way that can support the heavier cargo landers. So for example, investment in an e-pump project to put electric pumps on the main engine will be a good project we've already started. So there'll be some of those innovations we'll be doing with the capital and some of the strategic M&A we're thinking about will continue.
Edison Yu: Understood. And then a follow-up, you mentioned the new administration earlier. I'm wondering if you can talk about the potential opportunities in defense in the context of some of these big programs. Is there a lot of incremental TAM that could be derived from some type of DoD defense on path?
Steve Altemus: Yes. The way I talk about defense tech or DoD tech is really national security space tech. So as we're building out our network, the Near Space Network Services, there's a lot of space domain awareness, space traffic management capability by having assets in and around the moon that we can move into that market. And like I said, other areas where communications are needed, data relay. We have that architecture now and that IP associated with flying those kinds of data relay satellites with those kind of radio packages and sensors. All that can be applied to that national security space market.
Edison Yu: Thank you.
Operator: Thank you. Our next question coming from the line of Ronald Epstein with Bank of America. Your line is now open.
Ronald Epstein: Yes. Hey, good morning, guys. I mean so far we've covered a lot of ground, but just wanted to circle back on what's your thinking on the impact that the Department of Government Efficiency could have on NASA, what it could mean for you guys? And Musk seems to be a big influence here and he keeps talking about Mars. How do we circle that all up and what's it mean for you?
Steve Altemus: Well, I think the Department of Government Efficiency is looking to drive efficiency within NASA, in particular, in our case and the monies that are recaptured or saved can be applied to commercial space endeavors that could be more efficient. And so like I said, the Intuitive Machines is in a position now where we can navigate this kind of commercial market. We're driving innovation in a rapid, affordable way to deliver space systems reliably. And that is attractive for this modern era or modern administration approach towards NASA. So I think this is good. This is the way the space agency can get more accomplished and be more globally competitive. So I think in the end, while there might be reformulations within Artemis or changes within the civil servant workforce of NASA, the efficiency of the government, driving innovation and delivering space systems on a regular cadence is only good for, like I said, our global competitiveness. So I think that's a good thing. Mars first, Mars is further away. As an architect, space architect, I can tell you it's more than a presidential administration away. So while we can have a stretch goal to aim and build the technologies for Mars, like I said, the moon is of strategic interest and will remain so. And so that's where our focus will be. However, a lot of our technologies are extensible to deeper space and we will be looking at opportunities to replace some of the aging infrastructure around Mars, if that's the direction the country wants to go.
Ronald Epstein: And then I mean, just maybe two follow-ons, if I can. Be it that Mars is farther away, right? If we look at it as an opportunity, wouldn't that suggest that that's just a lot more work, which could potentially be good for you if they were to go that way? I mean like it is a bigger hurdle, but a bigger hurdle would require more funding. I don't know if I'm thinking about that right. But if they do push that way or maybe push that way in parallel, that could potentially be good, right?
Steve Altemus: Well, I think, if you think about constrained budgets, that's one of the factors that the House and the Senate are going to have to deal with in how they fund future space programs. If we say that there's efficiency coming out of NASA, the Artemis program may move to the right. What's important is that the Near Space Network is decoupled from Artemis currently in the budget and that gets implemented so that we have a strategic asset in and around the moon, and we revamped Mars sample return to become more affordable, that might create more opportunity to put the aging infrastructure replacements in orbit around Mars. And so you'd have to look at all the deck chairs and how they get shuffled. But all of this speaks to the need for agile commercial space involvement in not only opening the cislunar economy, but actually contributing to commercializing Mars.
Ronald Epstein: Got it. And then maybe just the last one. If we're in a continuing resolution for fiscal '25. I mean, it seems like that's what's going to happen, right or like maybe just a hair away from that, but a lot of people are now talking that fiscal '26 could be a continuing resolution. How does that impact you? I mean when we think about your business and a CR or two years of a CR?
Steve Altemus: Well, our company currently is working on existing programs that are covered under the continuing resolution and those programs exist, moving forward would exist, moving forward in a continuing resolution in 2026 obviously. It might we'll have to see about what happens there. I did mention I'm going up to testify on the House Subcommittee to talk about CLPS 2.0 and the follow-on and how moving towards heavier cargo deliveries. Right now, CLPS is funded, NSNS is funded, LTV is funded. So all our programs there with NASA seem to be in a good position.
Ronald Epstein: Got you. All right. Thank you.
Operator: Thank you. And our next question coming from the line of Josh Sullivan with the Benchmark Company. Your line is now open.
Josh Sullivan: Hey, good morning.
Steve Altemus: Good morning, Josh.
Josh Sullivan: Just on the comment earlier on the full core press into data services. Can you talk maybe about Jim's appointment? How are you modeling that long-term communications revenue model at this point? What is his appointment or perspectives at?
Steve Altemus: So Jim Frelk was in addition. We were very fortunate to bring Jim on board. He has incredible experience in bringing in like starting Digital Globe, just then went to Maxar. He worked for Lockheed. He's worked for NASA. He's got incredible depth of experience in data services from earth observation kind of data services. So when we think about the Near Space Network, we think about data services. And actually if you also recall that we now run the LRO Camera -- Lunar Reconnaissance Orbiter Camera and the ShadowCam with a group in Phoenix. And so we have a largest repository of lunar data that we steward for NASA. And we talk about integrating the data products that are collected by LRO with our own data products. We can start to get serious data content out of this network. And Jim is the one who knows how to commercialize that having done that three times. And he also brings incredible experience in national security space and connections where we can actually build this network, like I said, as a national asset to serve other government agencies as well. So that's really his forte and that's why we brought him in as we did and we're very proud to have him on board.
Josh Sullivan: Got it. And then, Steve, on your plans to speak to Congress on CLPS, what needs to be communicated at that event or maybe what does Congress need to be convinced of that it's not already inclined to pursue with CLPS likes models?
Steve Altemus: Well, the success of the lunar commercialization and where we're going with that in terms of communications, space traffic management, developing infrastructure and factories on the moon is essential for our strategic interests. Now if you think about CLPS and how you can alter the first CLPS program into 2.0 would be to move towards heavier and heavier cargo. So that set up that logistics supply that we can get equipment to begin building these factories on the moon and to begin working autonomously on the moon. And by emphasizing heavier cargo of spreading that delivery across multiple directors within NASA, multiple budget line items to serve not only science, but the human spaceflight side, the space technology side, right, the exploration side. All of that is what we want to communicate to the House about CLPS 2.0.
Josh Sullivan: Got it. Thank you for the time.
Steve Altemus: Okay.
Operator: Thank you. And our next question coming from the line of Greg Pendy with Clear Street. Your line is now open.
Greg Pendy: Hey, guys. Thanks for taking my question. Just I know you're going through the hot wash right now, but just from the targeted mission for IM-3 with the Reiner Gamma region of the moon, what type of flexibility would you have on that region to possibly push the data out further if you felt you needed at that time? What does the launch windows look like for that region of the moon? Thanks.
Steve Altemus: Yes. We have quite a bit of flexibility if needed. Right now we're not anticipating a shift in the schedule. Should that unexpected shift occur, we have several months on -- of give in that schedule to still meet that equatorial mission to Reiner Gamma. It's not as highly constrained as the South Pole missions are, which seem to be occurring in the fourth quarter and first quarter. This can extend first and second quarter easily.
Greg Pendy: Right. And then just one more. On that IM-3 mission, what type of timeline would you think you'd need for commissioning on that first, the first satellite before you can get the follow-on task revenue opportunity?
Steve Altemus: Yes, we think you get that bird up and in its polar orbit and we have about a 60 to 90 day commissioning period before we do a communications check, data relay check with an asset in orbit. So our satellite to another asset. That check is a validation task order and then we can start the follow-on operational task order.
Greg Pendy: Great. That's helpful. Thanks a lot.
Steve Altemus: Sure.
Operator: Thank you. Our last question in queue coming from the line of Erik Rasmussen with Stifel. Your line is now open.
Eric Rasmussen: Yes, thanks for taking the questions. You guys gave an outlook for '25 to $250 million to $300 million in revenue. Any insights that maybe you can share that gets you to this range? And then maybe just how should we think about the shape of that growth throughout the year?
Pete McGrath: I guess we'll start with the fact that if you look at the backlog numbers and the percentages I talked about earlier. It gives you a good indication that a lot of our revenue to get to the bottom of the range is from existing contracts and work we have in front of us. Because those are on contract, they're going to be throughout the entire year. So that's a pretty steady rate of revenue. What we're looking to grow with are the things that Steve mentioned earlier about the opportunities that we have in front of us this year, which include two CLPS opportunities and there is potential upside depending on what happens with the market and the congressional direction as to funding and NASA direction as to where programs are going, like things where LTVS could actually be awarded this year and there could be revenue this year. We're not putting that in our plan today, but that gives us some opportunities. So that allows us to fit within the range.
Eric Rasmussen: Great. Maybe just I know the hot wash review is ongoing and you're -- there's still a lot of work to be done, but any sort of initial observations that maybe you can share? And I know coming out of IM-1, there was around 60 some odd items that you needed to address of coming into IM-2. Would you expect that list to be maybe as much or greater or less than maybe just some initial thoughts would be helpful.
Steve Altemus: The hot wash is set up and it's our own idea about coming from our experience with -- working with human spaceflight programs. And we take a 30-day period, very focused timeframe, short interval, but very focused, and we examine every aspect of the development, the development testing, the assembly integration and functional testing of the vehicle, how we did at the Cape when we went to Florida to do the integration of the payloads, how the launch wet dress rehearsal went and how the launch went, how the mission all unfolded and how each phase of the mission all the way down through the surface and the payload operations. So we're very comprehensive when we take a look at this and we identify not only what went wrong, what went right. But where were there some soft spots that could do shoring up to increase reliability or what were the faults that occurred and what do we need to address? And those get binned in a set of categories of those that need to be implemented for the next immediate mission or those that can be carried as fleet upgrades as we go forward in the future. So that's kind of the process. We expect our internal review meeting on April 3rd, where we will hear findings from across all the subsystems and then we'll probably close that out, where we'll finalize everything on around the 15th of April. And then from there we're going to talk it to all our stakeholders, our customers, our NASA stakeholders and share our lessons learned. So we're very transparent. Like you said, we have some external reviewers from NASA, ESA and JPL that are subject experts and we're looking forward to the findings because it only makes us better and stronger.
Eric Rasmussen: Great. Thanks for that. Good luck.
Steve Altemus: Thank you.
Operator: Thank you. And I'm showing no further questions in the queue at this time. I will now turn the call back over to Intuitive Machines CEO, Mr. Steve Altemus for any closing remarks.
Steve Altemus: Well, thank you, everybody, for your participation and your questions and we're looking forward to another exciting year of growth for Intuitive Machines in 2025. Thank you.
Operator: Ladies and gentlemen this concludes today's conference call. Thank you for participating. You may now disconnect.